Operator: Thank you for holding, and welcome to the Rockwell Automation's Quarterly Conference Call. I need to remind everyone that today's conference call is being recorded. [Operator Instructions] At this time, I'd like to turn the call over to Rondi Rohr-Dralle, Vice President of Investor Relations. Ms. Rohr-Dralle, please go ahead.
Rondi Rohr-Dralle: Thanks, Frances. Good morning, and thanks to everyone for joining us on Rockwell Automation's First Quarter Fiscal 2013 Earnings Release Conference Call. With me today are Keith Nosbusch, our Chairman and CEO; and Ted Crandall, our Chief Financial Officer. Our agenda includes opening remarks by Keith that include highlights on the company's performance in the quarter and outlook for the full year, and then Ted will provide more detail on both of those. We'll take questions at the end of Ted's remarks. Our results were released this morning, and the press release and charts have been posted to our website at www.rockwellautomation.com. Please note that both the press release and charts include reconciliations to non-GAAP measures. A webcast of this call is accessible at that website, and will be available for replay for the next 30 days. Before we get started, I need to remind that our comments will include statements related to the expected future results of our company and are therefore forward-looking statements. Our actual results may differ materially from our forecasted projections due to a wide range of risks and uncertainties that are described in our earnings release and detailed in all of our SEC filings. So with that, I'll turn the call over to Keith.
Keith D. Nosbusch: Thanks, Rondi. Good morning, everyone, and thank you for joining us on the call today. I know it's been a busy earnings season for all of you, so I appreciate your time today and your interest in Rockwell Automation. The first portion of my remarks will cover the highlights for the quarter. So please turn to Page 4 in the slide deck. Sales in Q1 were in line with our expectations in total with mixed results by region. Latin America grew 7% with Brazil back to positive growth. U.S. growth was strong at 6%. EMEA declined 2%, as expected, due to flat OEM demand and lower solutions backlog entering the quarter. The negative surprise in the quarter was 9% sales decline in Asia Pacific. China and India were both down in the quarter more than the region average. In China, continued soft economic growth, lack of credit availability and project delays all impacted sales in the quarter. Orders performance was better than sales performance, and we rebuilt backlog in the quarter. I was in China earlier this month, and it feels to me like sentiment for industrial investment is turning a bit more positive, which should help our second -- our results in the second half. I'm confident that we're well-positioned to capitalize on opportunities when growth reaccelerates. In India, continued economic weakness, tight credit and high interest rates are dampening investment and causing project delays, and we don't see any improvement on the horizon. Process had a small sales decline this quarter, reflecting a weaker solutions backlog coming into the quarter and continued project delays. We continue to believe that process is our best growth opportunity, and I'll talk more about that later. Before I end my discussion on the top line, let me point out a couple of positives in the quarter. In addition to the strong sales in the U.S. and Latin America, Logix grew 5%, and we were encouraged to see solutions order rates pick up. The solutions and services book-to-bill was 1.23. Those of you who have been following us for a while know that a core part of our strategy is diversification of revenue streams from a geography, industry and application perspective. A quarter like this, where you have areas of strength that make up for pockets of weakness, demonstrates the importance of that strategy. Operating margin of 18.5% in the quarter was good and in line with our full year guidance. Adjusted EPS was $1.23 in the quarter. So overall, I'd call it a good start to the fiscal year. Let me share some other highlights of the quarter. CONTROL Magazine, an industry-leading publication exclusively dedicated to the global process automation market, recently issued the results of its Readers' Choice survey. We had our best showing ever with 43 wins in control, industry and product categories, the most of any process company. Of the 6 CONTROL discipline awards, we won 3, with no other company winning more than 1. In the industry vertical awards, we won 30 out of 53. The second-place supplier won only 12. These results are further validation that we are gaining ground as a leading DCS company for process applications. We're getting good traction with new products such as our family of midrange controllers that we've released throughout 2012. We expect this new product momentum to continue, and that along with the cooperation from the global economy will help fuel the increased growth in the second half that's baked into our fiscal year guidance. In early Q1, we closed on an acquisition in China, a medium voltage drives business headquartered in Harbin. This acquisition positions us well in the fastest-growing region for medium voltage drives adoption and energy-intensive applications. I'm really excited about this group of talented employees, who bring local manufacturing and design capability that will help us serve customers in China and across Asia. We were honored to receive the Better Business Bureau's 2012 International Torch Award for marketplace excellence. This award reflects our commitment to quality, our customers, our investors and our communities all based on a strong foundation of ethics and integrity. Every employee played a role in this recognition and should be extremely proud. So let me share our thoughts on the remainder of the year. Given first quarter results and our current assessment of market conditions, we are reaffirming our outlook for fiscal 2013 organic growth of 1% to 5%, with corresponding adjusted EPS of $5.35 to $5.75. We think year-over-year growth in Q2 will be similar to Q1, but stabilization of macroeconomic indicators and forecasts, coupled with our rebuilt backlog, reinforce our expectations of increasing industrial activity, resulting in stronger growth in the second half of our fiscal year. We're planning to continue to invest in innovation and customer-facing resources, but we'll monitor business conditions closely and pace our investments accordingly. While the economy is not as robust as we all would like it to be and business conditions remain challenging, we're seeing signs of stabilization that are encouraging. We're going to stay focused on providing value to our customers and executing our strategy. If we do that, we'll continue to outgrow the market. We have a great franchise with great employees and partners that know how to be flexible, collaborative and responsive to customers' needs. That's what will enable us to grow and deliver superior return to our share owners. Here's Ted to provide more details on the financial results for the quarter and our outlook for 2013. Ted?
Theodore D. Crandall: Thanks, Keith. All right, good morning, everybody. As Rondi mentioned, we posted a set of slides at the website, and my comments are going to reference those slides. I'll start with Page 5, which is the first quarter results summary. Revenue in the quarter was $1,489,000,000, up 1% compared to the first quarter of last year. The year-over-year impact of currency fluctuations reduced sales by about 0.5 point, and acquisitions contributed less than 0.5 point. Organic growth was 1.5%. As I move to segment operating earnings, I'll take the opportunity to remind you that consistent with our discussions on last quarter's earnings call, beginning with this first quarter of fiscal '13, we've adopted a new approach to dealing with pension expense in some of our earnings measures. We've introduced new non-GAAP measures that exclude non-operating pension costs from our income from continuing operations and corresponding EPS, and we also changed our definition of segment earnings to exclude the non-operating pension costs. We defined non-operating pension costs to include defined benefit plan interest cost, expected return on plan assets, amortization of actuarial gains and losses and the impacts of any plan curtailments or settlements. We consider service costs related to active employees to be operating pension costs. So on the new reporting basis, segment operating earnings were $276 million, down about 5% from $292 million in Q1 last year. General corporate net was $18.5 million compared to $20.2 million in Q1 last year. $18.5 million is a little lower than our expected run rate for the full year. The adjusted effective tax rate in the quarter was 26.6%. That compares to an adjusted effective rate in Q1 last year of 24.9%. Adjusted earnings per share were $1.23, and that compares to $1.31 a year ago. Average diluted shares outstanding in the quarter was 141.2 million. We repurchased approximately 1.2 million shares in the first quarter at a cost of about $88 million, and at the end of Q1, there was $849 million remaining under our $1 billion share repurchase authorization. Moving to Page 6. This is the graphical version of total company results for Q1. As I noted on the prior slide, the year-over-year increase in sales for Q1 was 1%. Bills declined sequentially by 11%. As we discussed in last quarter’s earnings call, we entered the first quarter with an unusually low backlog in our solutions businesses. On the right side of the chart, you will note a modest year-over-year and sequential decline in operating earnings. Operating margin in Q1 was 18.5%, down from 19.8% on a comparable basis for Q1 last year. The year-over-year decline is more about an unusually strong margin in Q1 last year than about weakness this year. In Q1 this year, we experienced very modest organic growth so not enough volume leverage to offset a higher base of spending due to annualization of fiscal '12 investments, the increase in operating pension costs of about $5 million in the quarter and normal year-on-year compensation increases. Currency effects also had a negative impact on operating margin in the quarter. These factors had a similar impact on operating margins in both segments. At 18.5%, operating margin is about equal to last year's full year result, pretty much right on our full year guidance and we believe a very solid start to the year. Although it's not displayed on the chart, our trailing fourth quarter return on invested capital was 29%. Now please turn to Page 7. This is the Q1 results of the Architecture & Software segment. Looking at the left side of this chart, sales increased 1% year-over-year. Currency translation reduced sales by 1 point, so 2% organic growth. Sales were down 2% sequentially. Operating margin for the quarter was 27.9%, down from a difficult comp of 29.1% in Q1 last year, but almost a full point above the full year 2012 operating margin for Architecture & Software. Again, a pretty strong start to the year. You can also note here that sequential earnings improvement and operating margin was up 2.7 points sequentially. The next page, Page 8, covers our Control Products & Solutions segment. Sales in the quarter were up 1% compared to last year both on a reported and organic basis. There was no significant difference between the year-over-year growth rates and the products portion of this segment and the solutions and services portion. Sales declined 16% sequentially with products down 3%, but solutions and services down 24%. The decline in solutions and services was pretty much as expected, and consistent with our comments last quarter regarding a low beginning backlog. On the right side of this chart, you'll note the year-over-year and sequential earnings decline. Operating margin in this segment dropped from 12.5% in Q1 last year to 11.2% this year. Particularly in our solutions and services businesses, the cost structure increased over the course of last year as volume ramped. We haven't fully adjusted for the substantial sales decline from Q4 to Q1 because we've rebuilt backlog in Q1, and we need to preserve the experienced people in these businesses to fulfill the orders which now will be delivered in the balance of the year. Switching to the next page. This provides a geographic breakdown of our sales in the quarter. I'll focus my comments on the far right column, which displays organic growth. As Keith noted, strong growth in the U.S. of 6%, Latin America was up 7% and Brazil experienced 13% growth in the quarter. EMEA and Canada were each down 2%, and Asia Pacific was down 9% year-over-year with China down 13%. India was weaker. That was somewhat offset by growth in the balance of Asia. Compared to our expectations and looking across the regions, the U.S. outperformed expectations in Q1 and Asia underperformed. Keith talked about some of the reasons for the underperformance in China and India in his comments. We do expect to see improvement in Asia Pacific sales performance in the balance of the year, particularly in China. Trends in the macro indicators, our backlog at the end of Q1 and input from our sales organization and customers support this view. In the longer term, we continue to believe that the emerging markets in Asia remain among our best growth opportunities. I'll turn now to Page 10, which is free cash flow. Free cash flow for the quarter was $156 million. Even though Q1 is typically a weaker cash-flow quarter, that represents about a 97% conversion on net income so another very good start to the year. And that takes us to the final slide, Page 11, which addresses our current outlook for fiscal '13. As Keith mentioned, we're reaffirming guidance. We continue to expect sales in the range of $6.35 billion to $6.65 billion. That revenue range represents organic growth for the full year between 1% and 5%. Consistent with our previous guidance, we still project stronger growth rates in the second half of the fiscal year. We believe that currency and acquisitions will add about 1 point of additional growth for the full year. That's the same as prior guidance. We continue to expect segment margin to be about 18.7% for the full year, and consistent with an expectation of higher growth rates in the second half, third and fourth quarters are also likely to be the higher-margin quarters. We are reaffirming adjusted EPS in the range of $5.35 to $5.75. We now foresee a full year adjusted tax rate of between 25% and 26%. That's down slightly from previous guidance of 26%. The reduction is primarily due to the extension of the R&D tax credit for 2012 and 2013 in the recent American Taxpayer Relief Act. We believe that the benefit of a lower tax rate will now likely be offset by somewhat higher share count. Subject primarily to acquisition opportunities, we still expect to spend about $400 million this year on repurchases. However, we are now projecting that full year average shares outstanding will be about 141 million. That's up 1 to 2 million shares from what we expected in November and due to a higher share price and the impact of the higher share price on both repurchases and options. And finally, we still expect general corporate net expense to be about $83 million for the full year. With that, I'll turn it over to Rondi, and we'll begin Q&A.
Rondi Rohr-Dralle: Great. Thanks, Ted. [Operator Instructions] Okay, Frances, we're ready to take our first question.
Operator: [Operator Instructions] Our first question is from the line of Steve Tusa from JPMorgan.
Charles Stephen Tusa - JP Morgan Chase & Co, Research Division: Can you just maybe provide some color on Process in China?
Keith D. Nosbusch: Well, specifically, Process in China, I think, was -- the impact there was mainly in project delays both -- and really in the backlog where there was a delay in customers because of liquidity, in some cases, delaying shipments. But probably the bigger impact of it was simply the large backlog depletion that we had in the fourth quarter left us with less to be able to ship in the first quarter. So I think that was probably the bigger portion. We saw some additional delays throughout the quarter. I would say the encouraging thing about Process in China was the orders that we had during the quarter where we have rebuilt some of that backlog. So I think it was a quarter -- at this point, we believe it was a quarter phenomenon.
Charles Stephen Tusa - JP Morgan Chase & Co, Research Division: Great. And then just a follow-up to that on the backlog build, this -- the CPS solutions business kind of hit -- seemed like it hit instantaneously here with your backlog, that 1.23 book-to-bill, I guess, you're saying through the balance of the year? How much of this comes through in the second quarter? Because that would imply quite a nice -- just like you had a pretty significant downdraft in the first quarter here would suggest EPS bounces back pretty strongly in the second quarter, yet you're kind of guiding to moderate year-over-year growth, which looks like it doesn't account for that kind of bounceback in the second quarter on revenues.
Keith D. Nosbusch: Well, Steve, I would say what we believe is that, that buildup in the first quarter doesn't come out immediately the quarter after. So that buildup is why we have confidence in the growth rate in the second half of our year, and it's why we believe the second quarter will be similar to the first quarter. And the buildup, while we're positive about the buildup, it does take a while to work its way through the organization and through the engineering and design process for those projects, and it's a second half phenomenon.
Charles Stephen Tusa - JP Morgan Chase & Co, Research Division: And were these orders late in the quarter? That's my last question, sorry. Were they late in the quarter? Or did they come kind of throughout the quarter?
Theodore D. Crandall: I think they weren't disproportionately weighted to December, but our orders did ramp from October through December in the quarter. Steve, that was pretty much across the board, not unique to solutions. And just one more comment on solutions. I think we do expect better solutions sales in Q2 than Q1, but we think we'll see more of the impact of that backlog build beyond Q2.
Operator: And your next question is from the line of Scott Davis from Barclays.
Scott R. Davis - Barclays Capital, Research Division: I have a few questions, but I think one thing that's pretty notable is your kind of lack of commitment to share buyback here, and I think the question is kind of it -- maybe it just shows a lack of confidence in the macro environment. But if you look back at kind of the history of your share repurchases, you bought back a lot of stock in 2006 and 2007, and then a bit in 2008, and then it's been kind of a trickle since then. What's really the cause of that? I mean, is it that you just -- the lack of kind of macro confidence to put a lot of money to work here, or do you see some substantial deal out there that's kind of keeping you wanting to be more liquid? I mean, help us kind of understand that -- pretty stark.
Theodore D. Crandall: Well, so Scott, the first thing I would say is even excluding 2007, over the last 3 fiscal years, we've returned $1.3 billion in cash to shareowners either through dividends or share repurchase. And basically, our plan this year is to exhaust our free cash flow, at least that's what we're expecting at the moment to be free cash flow, over the course of this year, and that is the expectation. We talked about us spending $400 million this year after acquisition spending and after dividends. We spent almost 1/4 of that in the first quarter. So we believe we're on pace for what we were expecting to do in terms of repurchases this year.
Scott R. Davis - Barclays Capital, Research Division: Well, again, and except just to play devil's advocate, I mean, you're holding almost no net debt, and you've got almost $1 billion of cash on the balance sheet. I mean, that's a pretty big number. If you go back in history and look, that's a much larger kind of number than the history, and again, if there's some macro uncertainty, I completely understand it, but otherwise -- I guess, I'll move on. We can take this afterwards. I want to go back to Steve's question in China. And talk us through what kind of projects and the volatility there. I mean, my understanding just in talking to your competitors is that China was more flattish for them in the quarter. You, down 13, is probably going to be an outlier for your broader comp group. I mean, what specifically happened to Rockwell that caused that growth rate to modulate down so fast in the quarter [ph]?
Keith D. Nosbusch: Well, let me -- first, about the flat comment, our orders were flat. So we don't see it as a disconnect from what we had expected in that regard with orders continuing to perform. What happened is -- it's pretty simple. It's the aspect of a solutions business where it's very lumpy, and we have orders and sales that certainly are more volatile than our products businesses and the timing, and in this case, the timing drove a significant shipment in our fourth quarter. That created the hole in our backlog. We had a weak second half orders rate in fiscal '12, and that in combination -- weaker, I should say, a weaker order rate in the second half and that, plus the shipments in the fourth quarter, created the gap in shippable product. And then during the quarter, we had some project delays, and those are typical in a solutions business, and I think it was just a combination of those multiple aspects that created a more severe outcome this quarter in China.
Rondi Rohr-Dralle: Scott, this is Rondi, and I just want to mention that back in that 2006, 2007 time frame, we sold the power systems business, and that generated net cash flows of over $1 billion. And so when you look at share repurchase from that period of time, that's really an aberration. I think what you're seeing now is very consistent with our cash deployment philosophy that we've been talking about now for years.
Scott R. Davis - Barclays Capital, Research Division: Yes, just one quick comment. I just look at -- if you're holding $1 billion in cash and you got $1 billion in receivables, I mean, you essentially have kind of $2 billion of cash to the entity, if you will. I mean, that's just a big number. So I'll pass it on, but that' just my...
Theodore D. Crandall: Yes, Scott, that's a fair observation. I think one of the things we've talked about on previous calls is we've got over $1 billion in cash, but 90% of that sits outside the U.S., and we can't easily access that without absorbing a significant tax penalty, which we've been reluctant to do.
Scott R. Davis - Barclays Capital, Research Division: Yes, no, I totally get it.
Operator: Your next question is from the line of Julian Mitchell from Credit Suisse.
Julian Mitchell - Crédit Suisse AG, Research Division: Yes, I wondered if you could give any color on sort of different end markets in terms of how customer activity is differing in automotive versus food and beverage, that sort of color.
Keith D. Nosbusch: Absolutely, Julian. Certainly, for us, the 2 strongest end-market verticals for us were automotive and oil and gas, and that would be pretty consistent on a global basis. And if you -- auto outside of EMEA has been strong with continued CapEx investment, and we also are able to now work in another application and will be enabled to participate in more of the powertrain applications in that industry. Oil and gas has been good for a period of time here now and certainly, that was one of the stronger markets for us this past quarter. Consumer in food and beverage, in there, the food is the stronger. Beverage is starting to slow down some, particularly in the mature markets. Most of the CPG consumer investments are being made today more in the emerging markets. Our life sciences business had strength both in EMEA and in Asia Pacific. Tire is getting a little weaker now. They had very strong investments for a couple of years, and I think we're starting to move to a lower investment rate in total, but still good levels of investment. And I would say, today, the weakest markets in total, specific geographies, driven a lot by the reduction in demand from China. So I think that's impacting the mining business in Australia and in certain segments in Latin America as well, although mining in Canada continues to be solid, and then you also know of the labor unrest in South Africa, and that's creating additional, I'll say, impacts on the mining industry.
Julian Mitchell - Crédit Suisse AG, Research Division: And then just secondly, your gross margin was down about 130 -- 120 bps year-on-year even though revenues were up slightly. Was there anything going on, particular input costs or price or any special mix effect, that will normalize?
Theodore D. Crandall: I think, Julian, the only unusual thing is that gross margin is a full GAAP number. So it's got all of the pension cost increase, both operating and non-operating, that we're absorbing year-over-year.
Operator: Your next question is from the line of John Inch from Deutsche Bank.
John G. Inch - Deutsche Bank AG, Research Division: Could we focus in on automotive? It's one of your strongest verticals in legacy. It's one of your most profitable verticals. You have clearly significant model introduction ramps coming in North America. Before we were talking about CapEx, spend improvement should be very helpful to you, GM and so forth. Where are we at with respect to the historical contribution of auto as a vertical? And maybe, Keith, you could give us your perspective around the runway and how you actually see that evolving by, say, geography because, obviously, in prior cycles, China wasn't significant in automotive, and now you're making inroads there. So maybe a little more color there would be helpful.
Keith D. Nosbusch: Okay. Well, you're absolutely right about the legacy strength of automotive in Rockwell Automation. We've talked -- at the depths of the decline, automotive was under -- was in the high single digits. I would say, today, we have -- in -- over the last 2 years, automotive has probably picked up a little bit to where the combination of auto and tire is probably around 15% of our revenue now. Auto is probably a little over 10% to 12%. A lot of that has been because of the growth of the automotive industry outside of the U.S. I mean, the U.S. is back, and it's very important to us, but where the incremental has been from a historical perspective has been the investments, really, in the emerging markets of which China would be #1. And we are continuing to increase our penetration of both the joint venture companies in China, which is the only way a multinational can participate in the automotive market, and in the domestic, the major domestic suppliers. So China has been a great opportunity for us. That would be followed by India, Brazil and Eastern Europe. The only other part that I would -- that I'd link a little bit to the U.S. automotive is Mexico has been a very strong automotive market, and it continues to grow both with North American manufacturers, as well as international companies as well. So Mexico has been an improvement. And then what I mentioned earlier about our ability to address more applications. We now are able to address the powertrain side of the business, and historically, we were mainly in the body and assembly side. And so powertrain -- so we can address -- and paint, so we can address paint, body-in-white assembly, as well as stamping, and now with powertrain, there are no applications that we can't go after in automotive. In addition, we've expanded our information capabilities in MES in the automotive space, and that has been a help for us also in the emerging markets as they try to be a very efficient producer of cars and -- with high quality. So I would say it's really been the emerging market, the expansion of our portfolio that -- and the resurgence of North American manufacturing that has driven our participation in the space to a higher level of our total sales over the last 2 to 3 years.
John G. Inch - Deutsche Bank AG, Research Division: And then in terms of follow-up, could we -- just curious if we could talk a little bit about this China acquisition that you did. I don't believe you've done a China acquisition in the past. Caterpillar, which I realize has nothing to do with your company, just took a massive write-down for a China deal. How have you gotten around -- I mean, you're a pretty cautious guy, how have you gotten around the risks associated with doing that sort of a thing? And is this some sort of an inflection toward your own, I guess, increasing comfort level in China and operating as a player, say, comparable with some of the other big automation players, Mitsubishi and Siemens? I mean, just a little bit, I think -- I just think it's really interesting. What else can you tell us about it?
Keith D. Nosbusch: Sure. Well, first, it is our second acquisition in China. We acquired an engineering company there for our solutions business, called Hengsheng, and we did that a couple of years back. And that was really to get us domain expertise to have a bigger critical mass of engineers to be able to support our growing solutions business there. So that was more of, I'll say, a people investment, and that has been very successful for us. The second one that we made was basically JCE, which was a medium voltage manufacturer, a medium voltage drives manufacturer. And what gave us a little more confidence here, John, to your question, is the fact that we had worked with them for a number of years previously. They were a contract manufacturer for our medium voltage drive in China, and they had some technology that allowed was -- that allowed us to address a different market segment -- I shouldn't say different market, different applications with a different price point because it was different technology. And it gave us a broader coverage of the medium voltage market, and that's very important because of the energy savings opportunities that, that brings. So I would say the previous working relationship gave us confidence in the people, gave us confidence in their capabilities and certainly was a part of the reason why we made the acquisition. I would say in China, in general, we continue to believe -- well, obviously, it's a very important market, and we continue to look for ongoing acquisitions in China. They are difficult, as you outlined in your comments about Caterpillar, and certainly, we are cautious. We're cautious because of the intellectual property. We're cautious because of the business practices and -- but yet, they're going to continue to grow solid, good companies, and we believe that we want to keep monitoring what's going on in China, and we are willing to make acquisitions there, given the right conditions and situation. But obviously, due diligence is quite important, and we have not proceeded on a number of our acquisition inquiries because of those types of concerns.
Operator: Your next question is from the line of Steve Winoker from Sanford and Bernstein.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: Keith, you've often talked about and described Rockwell as not a margin expansion story, but I'd like to just dive into margin a little bit more even on this quarter just to make sure I understand it better in terms of the decrementals. Could you maybe first just talk about the regional mix impact on margin given the very different regional profiles?
Theodore D. Crandall: I don't think there was any -- there was not a significant mix impact in the quarter either based on regional performance or the mix of product versus solutions.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: Okay. Second then, discretionary spend, and you talked about annualized spending going up year-on-year comp or, I assume, R&D. Maybe just -- and then pricing as well. Just give us a flavor for -- I understand the last year was exceptionally high and that this is the run rate. But try, and if you could, just break it down a little bit into some of those components other than pension that help us get a sense for the profile going forward.
Theodore D. Crandall: Sure, and maybe this will help. One of the reasons Q1 last year was a relatively higher-margin quarter within the context of last year was our spending ramped from Q1 across Q2, 3 and 4 last year. So if you look at the exit rate of spending, we were probably up about 3%, maybe 3.5% from Q1 to Q4, and that carried into our Q1 this year. So with a 1.5% organic sales increase, we've got more like a 3.5% to 4% expense increase, spending increase, if you will, and that includes investments we have made in R&D, in domain expertise, in commercial-facing resources, and included in that also is just normal compensation increases year-over-year, as well as the $5 million increase in operating pension cost we're absorbing.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: Okay, all right. So from your perspective, this wasn't a sort of intra-quarter, it was just you held your cost structure sequentially, and while you're satisfied, it sounds like, with the growth, and better than the Street on growth, that wasn't enough to where you wanted to be, and therefore, your seasonal plan, if I'm correct, is more -- was always weighted later in the year?
Theodore D. Crandall: Well, yes, we guided to 18.7% for full year and we're 18.5% in the first quarter. So it's not like we're well below.
Operator: Your next question is from the line of Mark Douglass from Longbow Research.
Mark Douglass - Longbow Research LLC: Keith, can you talk about the strength in the U.S.? We've heard from some others that there may have been, in some of our channel checks, may have been some pull-forward with companies trying to take advantage of the bonus depreciation, which they weren't sure if it was going to come back or get extended, turned out it was. But was there a little bit of that in the U.S.? And just talk about the strength here in the U.S. and going forward as well.
Keith D. Nosbusch: Okay. Well, as Ted had mentioned, we did see a continual uptick in business throughout the quarter. And every year, there's probably some, whatever you want to call it, budget flushing or pull-ahead that occurs. I think we saw a normal case of that this year, and we did not see anything that I would say was meaningful with respect to taxes or fiscal cliff. Some of our distributors did see a little more sales towards the end of the year. Some of that could be attributed to how you characterized it, but overall, we do not believe there was any meaningful change in what I'll say typical order patterns that we would see towards the -- throughout December and towards the end of December. The strength in the U.S. really comes from automotive and oil and gas. I think those have been the 2 major areas that we've seen. Then, in addition to that, we had a pretty good growth in -- our solutions business grew in the U.S. year-over-year, so that was a positive, and we've had a good Logix sales in the U.S. And I think that was a combination of the solutions growth, and in particular, some of the oil and gas and automotive expenditures that were taking place. So I think that gives a little bit of flavor to it.
Mark Douglass - Longbow Research LLC: Okay. And then, finally, what are the machine builders in Europe saying about expectations going forward? Not just in Europe, but, obviously, they do a lot of exporting, and they expect -- with a China ramp, are they expecting a better second half in '13 as well, exporting to China?
Keith D. Nosbusch: Well, I'm not sure if they're expecting a better exporting to China. Their exporting has been -- the strength of European exports the last couple of quarters has been the U.S. and Latin America as opposed to China. I think what we're hearing from our European OEMs are they're expecting 2013 to be flat compared to 2012. And I think Italy is still struggling a little, and I think Germany will be the better performer as the year progresses. Their backlogs are probably back to normal. I think they bled off some of their backlogs over the last couple of quarters, and there's a more typical pattern in that at this point in time. And I would say at this point, the only thing we're hearing with respect to weaknesses would be some of the beverage OEMs and to a smaller degree, some packaging, but in general, still a positive outlook for fiscal year '13.
Mark Douglass - Longbow Research LLC: Well, I guess, I understood China was already weak, but are they expecting it to get better as well, like in your forecast?
Keith D. Nosbusch: I think the OEMs would say that they do expect to see some pickup as the year progresses, and that would be more towards the end of the calendar year and late our fiscal year.
Operator: Your next question is from the line of Rich Kwas from Wells Fargo Securities.
Richard M. Kwas - Wells Fargo Securities, LLC, Research Division: On the Process growth, so negative this quarter. If I recall from the guidance last quarter, Keith, you talked about Process growth moderating closer to the company average in '13. Is that still intact, so that would imply kind of better growth through the rest of the year?
Keith D. Nosbusch: Absolutely right on both comments. We do expect it to be about the company average, and that would require a pickup for us. We expect that based upon some of the backlog build in our solutions business and also some of the continued growth of our products, both the Logix platform, as well as our process safety portfolio. So better second half in Process company average in total for the year.
Richard M. Kwas - Wells Fargo Securities, LLC, Research Division: And I assume that incorporates a lift in China as well from what you saw in December?
Keith D. Nosbusch: Yes, absolutely, and matter of fact, in both China and Asia in general, we expect to see that increase.
Richard M. Kwas - Wells Fargo Securities, LLC, Research Division: Okay. And then my follow-up is on U.S. So on Mark's question, talking about the growth here in the December quarter, it was pretty solid against a comparison that I wouldn't call easy. The U.S. comparisons get a bit easier. I think the guidance had assumed a low-single-digit-type growth for the U.S. market for '13. You did 6% this quarter. Should we think of this as that being potentially a conservative outlook, now what are the kind of the potholes that you could see in the U.S. right now?
Keith D. Nosbusch: Well, I think one of the things we said the last time was that we expect the U.S. to moderate as the year progresses. I think we still feel that, that will be the case. And so, overall, it'll be basically at the company average for the full year. So we do see less than 6% growth, going forward, over the next 3 quarters.
Operator: And your next question is from the line of Shannon O'Callaghan from Nomura.
Shannon O'Callaghan - Nomura Securities Co. Ltd., Research Division: Can you talk about what Process orders actually did in the quarter overall?
Theodore D. Crandall: Process orders overall were flat on a year-over-year basis.
Shannon O'Callaghan - Nomura Securities Co. Ltd., Research Division: Okay. And so I guess in terms of the pickup from here, is there, I guess, activity beyond that? You're expecting an order pickup in 2Q, or how do you see it playing out?
Keith D. Nosbusch: Yes. We do see order pickup throughout the year in our Process/solutions businesses.
Shannon O'Callaghan - Nomura Securities Co. Ltd., Research Division: I guess, I just mean if it's flat in the quarter, you have visibility into, I guess, activity levels that are not necessarily yet showing up in order levels, right?
Keith D. Nosbusch: That's correct. We believe the activity supports the growth, both the commentary from customers, as well as the commentary from our sales and channel organizations led us to expect a pickup during the year, and it's part of the reasons we talk about the second half being stronger than the first half. We expect second quarter orders to be better in our solutions business, and so the combination of first and second quarter should enable us to see that sales pickup in the second half of our year.
Theodore D. Crandall: And Shannon, just to put it in context, it's flat in Q1, and we're talking about company average 3% growth, organic growth, for the full year.
Shannon O'Callaghan - Nomura Securities Co. Ltd., Research Division: Okay. And then just in terms of incremental margins going forward across sort of the remaining quarters of the year, I mean, I know you talked about the second half margins being higher, but any thoughts about where we kind of shake out in terms of ranges on incrementals for the remaining quarters of the year, any timing things or other?
Theodore D. Crandall: I will be honest, I'm trying to think quickly about a sequential incremental margin expectation. I mean, I think, year-over-year, we still have the same incremental margin expectation we talked about in November, which was kind of low 20%. Obviously, we didn't get a great start on that in Q1, but on the other hand, it was a very minor top line change. So we do expect higher absolute margins in Q3, Q4. And primarily based on better volume.
Shannon O'Callaghan - Nomura Securities Co. Ltd., Research Division: And I mean, last year kind of took a big -- kind of an unusual big sequential step down. I know you had just some timing things last year. I mean, do you have any view on sequential margins coming off 1Q this year?
Theodore D. Crandall: Well, I mean, I think the 2 things that -- we don't do quarterly guidance, but the 2 things I'm comfortable talking about because they're pretty normal each year. One is in January, we do our merit increases for employees pretty much globally. So there is a probably about a $16 million increase in spending related to merit increase from Q1 to Q2. And then secondly, we expect better solutions growth, so we're going to have a little bit less favorable mix in Q2 than Q1. Hopefully, we're going to have some better volume too.
Operator: Our next question is from the line of Richard Eastman from Robert W. Baird.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Just a couple of things. Keith, could you just address, given how we started in APAC, and in particular in China, how does the growth for the year out of that region or country match up against your '13 guidance for core growth?
Keith D. Nosbusch: China, we would expect -- well, Asia Pacific, we would expect to be at the company -- at the flat to at the company average, somewhere in between there in that range, over our range and for all of Asia Pacific. For China, in particular, if that was part of your question, we expect that to be about equal to what last year's growth was in China, which was around 5%.
Theodore D. Crandall: And Rick, I would say compared to our expectations in November, we now expect Asia to be a little bit lower than we were thinking in November, and we expect probably, Latin America, EMEA, U.S. to be a little bit better.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay. So pretty much all the geographies kind of fall within that 1% to 5% consolidated number. There's nothing above it?
Theodore D. Crandall: No, I will say Latin -- our expectation is Latin America will be above that.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay, all right. And then just as a follow-up, we did talk about booking sequentially being better on the solutions side. Is the margin in that backlog and on those bookings, is it consistent with a 25% incremental margin year-over-year?
Theodore D. Crandall: Yes, I would say the margin on those bookings is normal solutions margins and generally consistent with our expectation of kind of low-20s conversion incremental margin year-over-year.
Operator: That question will come from the line of Nigel Cole from Morgan Stanley.
Nigel Coe - Morgan Stanley, Research Division: I know we've covered a lot of ground with these orders and backlog. But if we go back to last year, I think the book-to-bill was about 1.3. So question is, were the orders year-over-year down? And therefore, is there a risk that as we go into 2Q, we could see a flatten out of sales and maybe even an exit number within CP&S?
Theodore D. Crandall: Well, Nigel, I think, to your point, you're right. Last Q1 was a 1.3 book-to-bill. I think the real difference for us this year was in Q4 of '11, we had a pretty good book-to-bill despite having very high solution shipments, and that was with the opposite effect in Q4 of '12. So the hole we created was really in Q4. It's not so much about the book-to-bill in Q1 this year versus Q1 last year.
Nigel Coe - Morgan Stanley, Research Division: Okay. I know you don't give quarterly guidance, but do you think there's a risk that we could go down from 2% a little bit lower from here before we start to see that inflection upwards?
Theodore D. Crandall: You're saying in terms of organic growth?
Nigel Coe - Morgan Stanley, Research Division: Yes.
Theodore D. Crandall: I mean, look, even though we don't have great visibility, I would say we're pretty confident in our expectations of solutions and services sales for Q2, and we don't think we're going to see any significant change in our product business trends right now, but there's always a potential range of performance in any one quarter.
Keith D. Nosbusch: Right now, we are expecting second quarter to have similar year-over-year growth, but at the moment, to Ted's point, higher dollar -- higher sales for the quarter.
Theodore D. Crandall: Yes, I mean, we have to get pretty reasonable sequential growth to get to a similar year-over-year growth.
Nigel Coe - Morgan Stanley, Research Division: Absolutely, absolutely. No, that's helpful. And then, Ted, you called out the impact of the higher share price on the share count. Is there any impact, though [ph], in the P&L? We have seen some swings with exec [ph] comp growth, last year for example, as the share price fell. So given that you -- I think you planned for the year back in October. Has the higher share price had an impact on some of the -- your margin assumptions for the second half of the year?
Theodore D. Crandall: I don't believe there will be any significant impact because our equity grants all occurred in the first quarter and were valued at the prevailing price at that time, which wasn't that far off our expectations when we did the plan.
Operator: We'll now turn the call back over to Ms. Rohr-Dralle for your closing remarks.
Rondi Rohr-Dralle: Okay, great, thanks. I think all we want to say is thanks for joining us for today's call. I'm obviously available for all the follow-up calls, and have a great day.
Operator: And ladies and gentlemen, thank you, all, for your participation in today's conference call. This concludes the presentation and you may now disconnect.